Operator: Good afternoon. My name is Briana, and I will be your conference operator today. At this time, I’d like to welcome you to the EverQuote Third Quarter 2023 Earnings Call. Please note that this call is being recorded. All participants are in listen-only mode as this time. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] I will now turn the call over to Brinlea Johnson, Investor Relations. Please go ahead.
Brinlea Johnson: Thank you. Good afternoon. And welcome to EverQuote’s third quarter 2023 earnings call. We will be discussing the results announced in our press release issued today after the market closed. With me on the call this afternoon is Jayme Mendal, EverQuote’s Chief Executive Officer; and Joseph Sanborn, Chief Financial Officer of EverQuote. During the call, we will make statements related to our business that may be considered forward-looking statements under federal securities laws, including statements concerning our financial guidance for the fourth quarter 2023, our growth strategy and our plans to execute on our growth strategy, key initiatives, including our direct-to-consumer agency, our investments in the business, the growth levers we expect to drive our business, our ability to maintain existing and acquire new customers, our expectations regarding recovery of the auto insurance industry and other statements regarding our plans and prospects. Forward-looking statements may be identified with words and phrases such as we expect, we believe, we intend, we anticipate, we plan, may, upcoming and similar words and phrases. These statements reflect our views only as of today and should not be considered our views as of any subsequent date. We specifically disclaim any obligation to update or revise these forward-looking statements, except as required by law. Forward-looking statements are not promises or guarantees of future performance and are subject to a variety of risks and uncertainties that could cause the actual results to differ materially from our expectations. For a discussion of material risks and other important factors that could cause our actual results to differ materially from our expectations, please refer to those contained under the heading Risk Factors in our most recent quarterly report on Form 10-Q or annual report on Form 10-K that is on file with the Securities and Exchange Commission and available on the Investor Relations section of our website at investors.everquote.com and on the SEC’s website at sec.gov. Finally, during the course of today’s call, we will refer to certain non-GAAP financial measures, which we believe are helpful to investors. A reconciliation of GAAP to non-GAAP measures was included in the press release we issued after the close of market today, which is available on the Investor Relations section of our website at investors.everquote.com. And with that, I will turn it over to Jayme.
Jayme Mendal: Thank you, Brinlea, and thank you all for joining us today. Q3 was a solid quarter. It followed our June restructuring, which streamlined our operation around its most capital efficient and high ROI parts. In doing so, we restored a greater focus on our most differentiated assets so we can accelerate the rate at which we deliver deeper value to our customers. These assets include our P&C insurance shopping traffic, scale and technology, our local agent network and our proprietary data and associated data science and machine learning capabilities. The actions we took yielded strong performance this quarter relative to guidance. In the third quarter, EverQuote delivered revenue of $55 million, variable marketing margin or VMM, of $19.4 million and adjusted EBITDA of negative $1.9 million. In the auto insurance marketplace, most direct carrier budgets remain stable and are expected to remain so through the end of the year. However, agent-based carriers continue drawing down marketing support for agents as part of their efforts to slow the rate at which agents are writing new business, particularly in profit challenged geographies. In fact, one major carrier has entirely removed subsidy support through at least the end of the year. As we work through this challenging market, our streamlined cost structure, strengthened balance sheet and proven resilience of the team, give us high confidence that we will be well positioned for the eventual recovery. With each new challenge, our team has found ways to respond. As carrier monetization declined, we rolled out new bidding technologies to more effectively and nimbly manage ad spend to boost VMM efficiency. As certain segments of agents have lost carrier subsea support, we have offset the impact by growing demand from other agent segments, and as our auto vertical experience challenges, we drove growth in our home and renters vertical. EverQuote’s vision remains unchanged to become the largest online source of insurance policies using data, technology and knowledgeable advisers to make insurance simpler, more affordable and more personalized. To bring this vision to fruition requires continued adaptability and resilience, attributes the EverQuote team has demonstrated in space, most recently through progress made in Q3. Despite continued volatility in the auto insurance market, we plan to restore a pattern of consistent cash generation and driving towards profitability in 2024. I am confident that our streamlined operation and the proven strength of our team and business model will enable us to emerge with incredible success when the market recovers. Now I will turn the call over to Joseph to review our financial results.
Joseph Sanborn: Thank you, Jayme, and thank you all for joining. I will start by discussing our financial results for the third quarter before providing guidance for the fourth quarter. As a reminder, EverQuote announced the exit of our health insurance vertical in late June and subsequent sale of associated assets within the vertical in August. Our total revenue for the third quarter was $55 million, which was towards the top end of our guidance range for the quarter. Importantly, we delivered variable marketing margin or VMM and adjusted EBITDA that exceeded the high end of our guidance as our operating teams continue to execute well in a deeply challenging environment. Third quarter revenue for our auto insurance vertical was $43.1 million, as we continue to experience substantially weakened demand from our insurance carrier customers. Our third-party or local agent network was more resilient, representing 58% of total revenues in Q3, but it also declined year-over-year, primarily driven by our largest carrier partner reducing their agent subsidies within the quarter. This customer also notified us in October that it was discontinuing payment of subsidies to us to at least the end of 2023. We exited the quarter with auto revenue at a new low point since the auto insurance industry downturn began in late 2021. As a result, we do not expect the auto insurance recovery to begin until 2024. Revenue from our non-auto insurance verticals was $11.9 million in the third quarter and represented 22% of revenue. Beginning in our reporting for Q3 as a result of our exit from health, we are reporting on two primary verticals from a revenue perspective, auto insurance and home insurance, which includes renters. In Q3, revenue in the home and renters’ insurance vertical was $10.7 million, a year-over-year increase of 51%, highlighting what management focus can achieve in a less troubled market segment. VMM was $19.4 million for the third quarter, above our guidance range. VMM as a percentage of revenue was a near record high of 35.2% for the quarter, following a record high in Q2, driven by three primary factors. First, our traffic teams continue to achieve lower customer acquisition costs in a volatile environment, in part by being more selective in the types of consumers we target to bring into our marketplace. Second, our significant investments in developing proprietary technology and processes to better leverage our data to acquire high performing consumers are yielding results. And third, we benefited from a shift in revenue mix towards our local agent network, which in the past has yielded a higher VMM percentage. This is further evidence that our strategic focus and realignment is generating results. Turning to the bottomline. We continue to be very disciplined in managing costs and controlling what we can control. In the third quarter, GAAP net loss included a significant non-cash charge of $19.4 million related to the sale of assets of our former health insurance vertical in August and increased to a loss of $29.2 million. As previously announced on August 7, we sold assets of our former health insurance vertical to MyPlan Advocate for approximately $13.2 million, subject to customary post-closing adjustments. The transaction closed on August 1st. Included in the sales were commissions receivable of $30.8 million, which was expected to be collected over the next seven quarters, along with other assets and liabilities. Adjusted EBITDA improved relative to the second quarter to negative $1.9 million and was more favorable than our previously announced guidance range. This was a result of over performance in VMM and reduced operating expenses within the quarter, which drove an incremental $2 million in annualized savings. This is in addition to the nearly $20 million in annualized operating expense reduction that we achieved in the second quarter, following our June workforce reduction of approximately 30% and exit from the health insurance vertical. We had operating cash flow of negative $4.1 million for the third quarter. This includes $1.8 million in severance payments related to the June workforce reductions, which were paid in early Q3, although accrued for accounting purposes in Q2 and less favorable timing of working capital. With the exit from the health insurance vertical and the scale down of our remaining DTCA, which again requires significant upfront cash investment to drive growth, we expect that our adjusted EBITDA will be a close proxy for operating cash flow within any quarter going forward, subject to the normal working capital adjustments. The company ended the quarter with $39 million in cash and cash equivalents, up approximately 26% from $31 million at the end of the second quarter of 2023. In addition, we have a $25 million undrawn working capital line of credit with Western Alliance Bank, which is available until July 2025. We have no plans to draw on the facility and have no other debt outstanding. Turning to our outlook, including an update on the market conditions in the auto insurance industry. Ultimately, we remain confident that auto insurance increases will improve financial performance for auto insurance carriers, and consequently, will cause them to seek to acquire new customers for growth. But the timing of this improvement continues to be delayed, and therefore, impacts our guidance for Q4. For Q4, we expect revenue to be between $47 million and $52 million. We expect VMM in the quarter to be between $16.5 million and $18.5 million. And we expect adjusted EBITDA to be between negative $2.5 million and negative $4.5 million. Turning to industry trends. There have been encouraging signs from some carriers that they are making meaningful progress in achieving their desired levels of profitability. As carriers return to acquiring new consumers, we believe that their appetite for growth will vary considerably by consumer profile and geography, based on where they have achieved sufficient rate adequacy. As such, we believe that digital leaders like EverQuote will benefit, given the better ability of our channel to more specifically target a desired consumer profile compared to most other forms of media. We recognize, however, that several insurance providers are still struggling financially and then macroeconomic headwinds are likely to continue to delay some of these carries from regaining their desired levels of profitability for several quarters. As such, we believe that the exact timing and slope of auto recovery for the coming year remains uncertain. In summary, we delivered solid performance within the third quarter given the environment, achieving revenue at the high end of our guidance range and exceeding our guidance for VMM and adjusted EBITDA. Our operating teams are executing well, but we remain in a volatile and challenging environment. We have continued to focus on what we can control by taking decisive actions to judiciously manage expenses and build our balance sheet. We have strong conviction that EverQuote will be well positioned to directly benefit from the eventual normalization of auto insurance carrier demand. Jayme and I will now answer your questions.
Operator: [Operator Instructions] Your first question comes from Michael Graham with Canaccord. Your line is open.
Michael Graham: Hey. Good evening and thank you. Guys, I just wanted to ask -- can you hear me okay?
Jayme Mendal: Yeah, Mike.
Joseph Sanborn: Yeah, Mike.
Michael Graham: Okay. Okay. Sorry about that. I just wanted to ask for a little more depth on the auto part. I think your comments were super helpful. It seems like if I could summarize what some of the other players in the sector said here through earnings. It was basically like, yes, the rest of 23% is not expected to be great, but pretty good optimism for a recovery in the beginning of 2024, partially because carriers like to kind of set budgets sort of starting the calendar year. So I guess, I just wanted to see like is that sort of what you are still expecting or it seems to be maybe a tiny bit more cautious than that? And then related kind of question is on your DTCA business, would you expect that to recover on the same pace or more quickly or less quickly than your agency carrier business?
Jayme Mendal: Yeah. So I will take a crack at that, Mike. Short answer is, I think, we see the world pretty much in line with how the others see it. We would start with carrier underwriting profitability and that continues improving. And this time through the improvement in profitability appears more broad, and perhaps, more sustainable than it has at earlier points in the downturn. So you are seeing many carriers improving combined ratio meaningfully over the last quarter or two. We are hearing rate increases in the double digits regularly across a number of different carriers, whereas the loss trends are beginning to levelize. So one major carrier reported last week, they have taken 16 points of rate year-to-date, but they have seen loss trends increase by only 5 points, right? So underwriting does appear to be improving considerably and more broadly than the past. Then you look at, okay, well, what will happen once as underwriting improves and as we turn the corner into the new year. So consistent with what you have heard from others, we know that budgets will reset as we turn the corner into January, and with that, will come a reset in budgets for the better. And so long as underwriting continues to improve, we expect to see a significant step-up in 2024. I think the part that we have a little less clarity on is exactly what the shape of that will look like, but we do expect to see a step-up in Q1 and then a gradual but sustainable recovery trend through next year and likely into 2025. As we talk to our carrier partners, I would say eight to nine of our top 10 customers have expressed plans for growth next year and so that’s what we are anticipating. And then to the second part of your question, sort of might want to just take a minute to reorient or reframe DTCA in the context of the business. Since we exited the health and Medicare vertical, which had a large DTCA component and reduce the size of the P&C, DTCA. What remains is a relatively small operation. And so its impact will be low in the grand scheme of things. But to try and answer your question directly, I think, it will recover at a similar pace. So what we are hearing out of our carrier partners on the agency side of the business is pretty similar to what we are hearing on the direct side.
Michael Graham: Okay. Great. That’s helpful, Jayme, and good luck getting 2024 off to a good start.
Jayme Mendal: Thanks, Mike.
Operator: Our next question comes from Jed Kelly with Oppenheimer. Your line is open.
Jed Kelly: Hey. Great. Thanks for taking my questions. You just said eight of your top 10 customers are planning to increase spend next year with you guys. Is that broad-based or do you think you are gaining share? And then, this was your, call it, second straight quarter of mid-30%, 35% VMM margins. Can you just expect -- can you just give us a sense on how you expect VMM margins to trend, how -- in a better demand environment if that materializes next year? Thank you.
Jayme Mendal: Sure. So Jed, I think, as we look at the market share data that we use. I think over the sort of arc of the downturn, we believe we have taken some share. I think in the last quarter, probably, relatively stable relative to the period before it. But overall, we feel very good about our market condition and the state of the relationships with the carriers and some of the growth initiatives that we have planned with them as we turn the corner into next year. With respect to the VMM question, you are right that we have been operating at historically high levels of VMM these last couple of quarters. We have managed to drive our ad spend efficiency up quite a bit with -- as we respond to changes in demand. We have also rolled out new bidding technology, which has enabled us to increase our VMM margin more structurally. So it’s a combination of those two things, one of which will likely persist, one of which may normalize as more competition for traffic comes back into the market in the recovery. So it’s hard to say exactly where VMM will land. Historically, we have always optimized for VMD dollars and the historical optimal point for VMD dollars has been at slightly lower levels of VMM margin percentage than we are seeing now, but that would come with considerably more VMM dollars at higher volume. So I think if we had to sort of set expectations, it’s probably somewhere between where we have been historically and where we are today is where you see things start to settle in a recovery scenario.
Jed Kelly: Got it. And then just as a follow-up, it looks like guidance implies that the non-variable marketing expenses around $21 million. Is that the right way to think about our baseline going into next year?
Joseph Sanborn: That’s the right way, Jed, to think about our baseline, and just to put that in context, that is down modestly from where we were in Q3, and obviously, certainly down from where we were in Q2. So we took about $20 million of annualized costs out of the business in the restructuring in Q2. We took further cost out in Q3, another $2 million annualized and so you see for this year, that would be where we would see. Starting next year, I guess, I’d put one additional point on that is, as you start next year, you also have the traditional start of the year increase related to annual comp increases and reset of fringe benefits, but that would be the one change, I think, going into next year. We are going to continue to judiciously manage expenses and you have seen that discipline throughout the second half of this year, and that will continue. But you will have those resets that go in the normal course of Q1.
Jed Kelly: Thank you.
Joseph Sanborn: Thanks, Jed.
Jayme Mendal: Thanks, Jed.
Operator: Our next question comes from Dan Day with B. Riley Securities. Your line is open.
Dan Day: Yeah. Hey, guys. Thanks for taking the question. So just to turn to home and renters to turn it away from auto for a second. Pretty impressive growth rate there. I know the dollars are still kind of smaller. But any investment you made to drive that growth? How sustainable do you think that is and then just like how big do you think that can be over time?
Jayme Mendal: Yeah. So late last year, we dedicated a team to that vertical to home and renters. I think what we are seeing is the impact of just greater focus, resource concentration and dedicated leadership there and that team has done a great job trying to figure out the growth path for that vertical. We have managed to grow agent demand quite a bit. We have built out consumer traffic footprint in parallel and the product of that is the growth that we are experiencing now. We certainly think there is more room for that vertical to continue growing. We are going to continue to invest in and support its growth. The home market is not immune to some of the hard market dynamics that auto is facing and so this is the kind of growth we are generating in the hard market cycle. And so as that market improves over the course of the next year, we would expect to see some continued growth alongside it.
Dan Day: Great. Thanks. And then just a follow-up back to auto. I think like, historically, your largest carrier customer in the marketplace business was pretty far ahead of everyone else just in terms of like using technology to acquire customers online, right, through marketplaces like yours. Maybe just talk about like the other carriers, whether the last year or two has made them realize they need to be using marketplaces like yours and then digital channels to acquire customers and whether there’s been sort of a market shift in their willingness and the ability as well to use them throughout this hard cycle?
Jayme Mendal: Yeah. I would say that the hard cycle has pushed carriers up the sophistication curve with respect to tapping into marketplaces like ours. One of the most pronounced benefits, particularly in a hard market, is the ability to target with greater precision than you can in more sort of mass market channels. And so we have seen carriers who have historically been called less targeted, increasing their ability to target the types of consumers that work for them at a given moment in time and I think that will persist. In terms of their -- I would say that, the progress is sort of sits on the spectrum and our job is to help the carriers, the providers sort of at the lower end of that spectrum to help them either get better or to do the work for them. And so we have seen some adoption of a product that we have that actually helps carriers do the bidding, where they can just kind of talk to us about and express their preferences for specific consumer profiles, geographies, KPIs and we will use our technology, our data, our machine learning to effectively do the bidding on their behalf and help drive more volume at their KPIs. So I would anticipate more adoption of that technology coming out of the hard market cycle as I think carriers have gained some appreciation for what’s possible in a channel like ours.
Dan Day: Great. Thanks, guys. Appreciate it.
Jayme Mendal: Thanks, Dan.
Joseph Sanborn: Thanks, Dan.
Operator: Our next question comes from Cory Carpenter with JPMorgan. Your line is open.
Danny Pfeiffer: Hey. This is Danny Pfeiffer on for Cory Carpenter. I just have two quick ones. Is there any commentary on kind of how consumer traffic has trended throughout the quarter as more carrier price increases flowed through? And then, on the second, you touched on it before in the prior question, but what are some of the higher level drivers of the home and renters’ insurance market we should look out for next year that will continue to drive growth? Thanks.
Jayme Mendal: Thanks, Danny. On the traffic front, I would say that, consumer shopping volume has been relatively stable. Now stable at historically high levels as the rate cycle continues to drive more shopping behavior. But we expect that to continue to remain at elevated levels for as long as the rate cycle persists, which is likely to be well into next year at a minimum. Now with respect to home, I mentioned a couple of the growth drivers that have enabled some of the growth that we have achieved over the last year. Those include growth in demand from local agents, particularly as it’s become a bit harder for them to underwrite auto as a result of carriers tightening their underwriting restrictions and continuing to build out our traffic footprint in parallel in that vertical. I think there’s probably continued room for growth along both of those dimensions and then you have got -- you layer on the fact that home is still in a relatively hard market, meaning a lot of the carriers that have historically had demand for home insurance shoppers are pulled out of the market, if not operating with a very narrow footprint and so we would expect that as they continue to take rate over the next year that we will see some just recovery in carrier demand through natural course as we expect to happen with auto as well.
Danny Pfeiffer: Thanks.
Jayme Mendal: All right. Thanks, Danny.
Operator: Our next question comes from Ralph Schackart with William Blair. Your line is open.
Ralph Schackart: Good afternoon. Thanks for taking the questions. Can you just maybe give us some perspective if you can about some of the market share shifts you might be seeing? I think, historically, you talked about gaining share and with the eventual recovery at some point with carriers as they take rate, how is EverQuote going to be positioned coming out of this down cycle, let’s say, versus the broader competition? Thanks.
Jayme Mendal: Yeah. Sure. So we -- like I said earlier, we feel very good about the market position. We have got strong close relationships that through which we are working on growth plans for next year. I would say, there’s a number of carriers where we have exclusive opportunities to partner with them on key growth initiatives for next year. And so as a result of these things, I would expect we will continue to maintain share into next year. I would say if there’s one area where we look at it and we may see some headwinds, as we have mentioned previously, it’s in that agent channel, where we know that agent demand has contracted a bit recently as some of the carriers have pulled subsidy support. And so as a result, the distribution profile that we have, which is more agent dominant, may create some share headwinds for next year. But like has happened with all the direct carriers, it’s just a matter of them working through repricing and we would expect to see that kind of work out over the next year as well.
Ralph Schackart: Great. Thank you.
Jayme Mendal: Thanks, Ralph.
Operator: There are no further questions at this time. I will now turn the call back to management for any closing remarks.
Jayme Mendal: Thank you. Well, thanks all for joining us today. We continue to build confidence that auto insurance carriers are making strides towards healthier underwriting and that as they do, more marketing spend will return to our marketplace. As it does, we will benefit from our streamlined cost structure, our strengthened balance sheet and our team’s proven resilience and adaptability, and these things position us extremely well for a strong run ahead as the market recovers, and we resume the secular shift of insurance online. As we continue to advance our mission to become the largest online source of insurance policies, we remain very excited about the future and we appreciate the continued support in pursuit of that mission. Thanks all for the time today.
Operator: This concludes today’s conference call. You may now disconnect.